Operator: Good day, ladies and gentlemen, and thank you for standing by. And welcome to the Cirrus Logic First Quarter Fiscal Year 2013 Financial Results Q&A Session. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the conference call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin.
Thurman K. Case: Thank you, and good afternoon. Joining me on today's call is Jason Rhode, Cirrus Logic's President and Chief Executive Officer; and Jeremy Allen, our Director of Investor Relations. Today, we announced our financial results for the first quarter fiscal year 2013 at approximately 4:00 p.m. Eastern. The shareholder letter discussing our Q1 financial results, the earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information, along with the webcast of this Q&A session, are all available at the company's Investor Relations website at investor.cirrus.com. This call will feature questions from the analysts covering our company, as well as questions submitted to us via e-mail at investor.relations@cirrus.com. Please note that during this session, we may make projections and other forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially from projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Please refer to the press release issued today, which is available on the Cirrus Logic website, the latest Form 10-K and 10-Q, as well as other corporate filings made with the Securities and Exchange Commission for additional discussion of risk factors that could cause actual results to differ materially from current expectations. Now I'd like to turn the call over to Jason Rhode. Jason?
Jason P. Rhode: Thank you, Thurman. Before we begin taking questions, I'd like to highlight a few of the things we discussed in our shareholder letter. Q1 was a great start to what we believe should be an outstanding fiscal 2013. We are delighted that our investment in R&D is paying off as multiple new product ramps are expected to drive significant revenue growth this year. Our supply chain team has been hard at work in ensuring that we have the capacity and flexibility necessary to support these ramps in the coming quarters. As such, we expect revenue in the September quarter to grow more than 70% sequentially and continue significant growth in the December quarter. During the quarter, design activity for new devices, in both energy and portable audio, was very high. In energy, our first digital LED lighting controller is now shipping in a European LED lightbulb from Philips, and we are actively broadening this business with multiple leaders in lighting. In Q1, we introduced our second family of digital LED controllers, featuring 2 channel color mixing, which enables manufacturers to efficiently create warm, natural light while providing the greatest, dimming compatibility available on the market today. Our audio business continues to drive our top line growth, and we are confident we will be able to add further value in this market through innovation and our ability to execute. We are experiencing solid design activity with our new boosted audio amplifier, which is currently sampling at numerous potential new customers, and our ultralow power DSP is shipping in a variety of portable devices. Also, I'd like to note that while we understand there is intense market interest related to our largest customer, in accordance with our policy, we do not discuss specifics about our business relationship. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first questioner in queue is Jeff Schreiner with Capstone Investments.
Jeffrey A. Schreiner - Capstone Investments, Research Division: Lots of congratulations, obviously, gentlemen, on what looks like to be a great September quarter. My first question would be, was the September quarter guidance -- could you help us understand maybe what drove it? Was it more unit-based or maybe more in increased content ASP? How would you kind of characterize that?
Jason P. Rhode: Well, obviously, it's kind of a sensitive bit of information to the run-off of business of announcing what any of our customers are doing. It's a little bit of both or I guess, I would say a lot of both. And that's kind of the bulk of the color we can put on it for right now. I recognize that, that makes it difficult for you all, but it's kind of where we're at.
Jeffrey A. Schreiner - Capstone Investments, Research Division: Okay. And then, Jason, you talked about the DSP seeing some new wins. I was just wondering if you could maybe give us a little bit more depth into the DSP product as it relates to outside of your largest customer and how much traction you're seeing there.
Jason P. Rhode: Yes. It's a great product. The neat thing about that product line is we find that more and more of the opportunities that we're really excited about require a little bit of custom work or a lot of custom work on our part. And the challenge with the CODEC business that is really driving the bulk of our revenue and our growth is that customizing one of those device is pretty expensive, and so there's not really all that many opportunities that are, on the surface, obviously worth it. The neat thing about the programmable DSP is that it's programmable by our customers, and the cool thing there is that, that lets us kind of use that device to explore a lot of new applications. So it's shipping in a number of things today. We've mentioned camcorders last fall. It was really kind of the first thing shipping in meaningful volume. We've seen additional designs in areas like tablets and other kind of mobile devices where sound processing in some form or another, whether it's legacy things like surround enhancements or more advanced functions like, for example, the camcorder that we're shipping in use of that -- to do wind noise reduction, which if you're using a camcorder in an open field is, obviously, something that's pretty important. So things like that we've thought about in the past that being able to do really all sorts of manipulation with being able to extract voice from the environment. Wind noise being just one example of that, actual translation, noise suppression, all sorts of things along those lines really are a big part of what we see the audio opportunity in the future. So in any event, that's kind of what we've been doing there. It's a neat combination of a great device from our team, some software features that we provide firmware, kind of DSP programmability that we provide and a lot of great work by some of our customers using our tools.
Jeffrey A. Schreiner - Capstone Investments, Research Division: And then, Thurman, just a quick one for me, and I'll jump into the queue. Was there any one-time benefit? And what I mean is kind of maybe more legacy product in the energy business in June which may have lifted gross margin?
Thurman K. Case: No. Nothing out of normal. As a matter of fact in the legacy stuff, some of our higher-margin stuff did not generate abnormally large numbers.
Operator: Our next questioner in queue is Andrew Huang with Stern Agee.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: So congratulations on the guidance for the September and December quarters. In your shareholder letter, you mentioned you're sampling your new boosted audio amplifier with multiple customers, and I think this is for speakerphones. But I was wondering...
Jason P. Rhode: It's really for anything. But it is a valid point that you bring up. Generally, when we talk about a device on the call, in particular, but any time we talk about a device we're shipping to multiple customers that's it's a general market device, and that's got a pretty broad range of applicability. But certainly mobile phones would be a key area that we'd like to see it get some traction.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: So just curious if there's any revenue from this product factored into your guidance for the back half of the calendar year.
Jason P. Rhode: No. We talked about this device a little bit at the last earnings call. And at that time, it was just barely coming back from fab. So I mean much like everything else we do it tends to take on the order. It can vary around a little bit, but on the order of a year between the time we but a product in a customer's hand and the time variable to meaningfully ship it in volume.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: Got it, okay. And then I noticed in the back of your shareholder letter, you mentioned that you're actually going to sell some of the assets for the Apex Precision Power products. So maybe you could give us a little more color on why you're doing that and when that might close.
Jason P. Rhode: Sure. Well, yes, it's expected to close in the next 45 days. In a nutshell, we acquired Apex when we're a lot smaller company. Then, there was a couple of motivations for it, one of which was obviously financial. And purely from a financial metric point of view, that acquisition was a big success, and it really helped us carry through some quarters when we're a lot smaller company. The other goal for it was that we really wanted to merge and combine some of the high-voltage and high-power expertise that Apex brought to the table with a lot of the signal processing and more IC-centric capabilities that we have at Cirrus. And that's been successful as well. So of the 2, what we're keeping out of the arrangement is the IC portion, not surprisingly. That team is hard at work on a lot of motor-control applications. We've got some neat IP there. That team is also responsible for developing a high-power automotive audio amplifier that was part of a chipset we shipped on to Harman. So we're keeping the part that really fits in well with Cirrus. And then, additionally, the hybrid assets, really at the end of the day, our analysis was while the financials with them are pretty positive and I expect they will be for some time, they don't fit definition of exactly what Cirrus does. They're definitely a bit of a different kind of a business model. It's a -- the definition of what success even looks like is a little bit different. And so for Cirrus, it wasn't a real good fit with what we do in our bread-and-butter business, and additionally, I don't think we were helping their hybrid business out a whole lot. I think there'll be a lot more efficient and nimble left to their own devices. So given all things and given the outlook for the overall company, it seems like this was a real good time to send them on their way. And I think they're going to be a great company, and they've got some great prospects. And this allows us to just further refine our focus on what we do real well.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: Okay. Thanks for the color. And then one last follow-up. On LED lighting, I think you mentioned that you expect to ship in several A19 lamps later this year. So I was wondering if you could indicate which geographies these bulbs will ship.
Jason P. Rhode: North America. So just for anybody that's on the call not -- that's not familiar with the lighting lingo, the A19 bulb, as we mentioned in the shareholder letter, is very common around the world. But it's the one that in the U.S. you will be the most familiar with as the type of lamp you would screw into a typical replacement socket. So that's an area we're getting a lot of traction, additionally the parts, so -- which are kind of your overhead flood or spots, part 38s, for example, some of the other areas that we're seeing a lot of traction. And that's an area where people seem to be very, very concerned about, dimmer compatibility and in particular, interoperability with other bulbs, whether they're incandescent or whatnot. If you think about it, these are the kind of light bulbs that are in the large rooms with a lot of overhead fixtures. They don't all burn out at the same time. A lot of those lights would be ganged up on one dimmer. So it matters quite a lot that they all work together. So it adds to the complexity of being "dimmer compatible", and it's another big advantage for us. So those are kind of some of the areas we're seeing real good traction in the LED lighting space.
Operator: Next questioner in queue is Tore Svanberg with Stifel, Nicolaus.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: A few questions. First of all, could you just talk a little bit about what you've done on the supply side of things to make sure you can ramp at this level, especially thinking about front end and back end?
Jason P. Rhode: Sure. It's -- my hat is off to our team. It's a big, big challenge to support this kind of ramp as you can imagine. We've been fab-less since 1984. We were fab-less before fab-less was cool. Our team has got a ton of experience at it. And one of the benefits, I think, that we've had is the way our business model works with developing custom products. We're obviously working on these devices a very long time in advance to the actual unit volume. So we've had plenty of time to work with our suppliers. We work very closely with our fab partners to make certain that we can supply all the demand that we see out there. And then, actually in this case, possibly a bigger challenge was just making sure that the back end was ready for us because we're already a pretty significant capacity of the -- pretty significant consumer of that type of capacity we needed on the back end. So we work closely with STATS, as well a number of other -- number of our other back-end assembly and test partners. We did an investment with STATS we made some noise about back in January, I think. But then, additionally, we worked with a pretty broad array of the other advanced packaging houses around the world to make sure that we can really meet the needs there. Part of it was the inventory that we telegraphed last quarter, that was a pretty big clear about where things were headed for us and gave us, obviously, a pretty big leg up on what we see coming for the Christmas season.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: Very good. And on operating expenses, it looks like you're going to come in at roughly 25% revenues in the September quarter , which is way below your target of 35%. How should we think about that going forward? Will it sort of gradually creep up or will you actually consider even changing your long-term model on OpEx?
Jason P. Rhode: Well, there's a couple of things to it. Number one, we've got some, I guess, shall you say kind of one-time anomalies in the quarter that are just due to timing of -- as you're aware, of the move. We moved our headquarters so we've got some move-related expenses there in the quarter. We've got a significant number of tape-outs within the quarter. So while underlying that, we're going to continue to do a diligent job trying to hire as many people as we can meaningfully deploy and integrate into our culture. Q3 probably is not a big rise up. It might go up a little bit, but it's not a big step-up from what we're telegraphing for Q2. But longer term, we're going to keep hiring the number -- the amount of revenue we're seeing to employ is pretty high, and there's a reason you don't see too many companies that are far outside the norm there. There are certain models that you kind of have to pay attention to, and we need to make sure we're laying in enough engineers that we can keep growing off of this higher base. And we see a ton of opportunities in front of us. For every new device that we're kicking off, there are multiple other very good opportunities that we're unable to staff. So we're very much in a talent-constrained situation right now. The good news is that our investment in the corporate culture and making us a great place to work are paying off. We are definitely seeing good progress on the hiring front. And that's something that is, first and foremost, in my mind making certain that we can really bring in the kind of talent we need to continue the progress we've seen.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: Great. And last question on the CapEx, can you just update us on what your targets are for fiscal '13?
Jason P. Rhode: I'll let Thurman handle that.
Thurman K. Case: Well, for the entire year, I mean, we're looking at something that is going to run pretty normal with the exception of we are adding some tools and some other things to that. So if you look at it, we're still looking at $50 million to $60-type-of-million dollar range for total CapEx for the coming year.
Operator: Next questioner in queue is Vernon Essi with Needham & Company.
Vernon P. Essi - Needham & Company, LLC, Research Division: And I'll offer my congrats on this herculean guidance, interesting adjective, and also the Philips win on the LED front. I was wondering if you could go back, I guess, quickly to the discussion around headcount adds. I noticed in Apex, it looks like you're going to be, and correct me if I'm wrong, shedding about 80 folks. And I think that's included in the headcount numbers in your shareholder letter. Can you go back and remind us, are you still targeting 800 employees above that loss for this year? And if that's sort of still the goal? Or should we just discount it for. . .
Jason P. Rhode: No, you need to factor that out, factor the 80 folks out of that number.
Vernon P. Essi - Needham & Company, LLC, Research Division: Okay. Are we looking in the low 700s then?
Jason P. Rhode: Yes.
Vernon P. Essi - Needham & Company, LLC, Research Division: Okay. And then just if you could give us an update, I guess, on the energy business. I mean trying to -- I mean, it's obviously smaller compared to what else is going on with your largest customer. But it looks as though Apex will be sort of a headwind of about $5 million a quarter going forward, I guess, starting in December. And wondering if, first of all, that seems to be how that's going to be timed. Is that correct, Thurman?
Thurman K. Case: The actual close, we were going to try to do that within this quarter. So it would be factored in on a prorated basis if it closes earlier.
Jason P. Rhode: Yes, you're correct, that if you want to ballpark it, it's around that number for the December quarter.
Vernon P. Essi - Needham & Company, LLC, Research Division: Okay. And you'll have the LED ramping in the backdrop. How is Seismic shaping up? Any activity on that front lately?
Jason P. Rhode: Well, there's -- Seismic is always entertaining to forecast, and forecasting something for Seismic as far away as December is definitely beyond my capabilities. So we continue to -- we basically get excited about it when it's actually on backlog, and we believe it when it ships. We quote terms in that market that are basically essentially NCNR, and we quote lead times that are basically what it takes to build the devices. So there is some Seismic in the quarter. I don't think it's a particularly notable number this quarter, and we'll see what December brings when it rolls around.
Vernon P. Essi - Needham & Company, LLC, Research Division: Okay. And then switching gears to the audio business. It sounds your large customer, it actually performed pretty well, sort of seems to be sort of a normal seasonality for the business. I'm wondering if you could give us your interpretation of how we see those markets faring out into the third quarter across the broad-based consumer markets that you supply to.
Jason P. Rhode: Yes. Well, thank you for noticing that. They actually did have quite a decent Q1. Yes, I mean we see that shaping up as just as a broad market statement. We see okay opportunities. Some -- obviously, that is typically a seasonal business. We do see more in the back half of the year for the Christmas build. So we would expect to see that this year. As we said in the letter, it is always difficult to call the timing of whether that's going to be in the last couple of weeks of Q2 or the first couple of weeks of Q3. But we see reasonable demand there. And then, on top of that, we do have a number of new initiatives. The DSP continues to gain traction, which is very exciting. And then this new amplifier, hopefully, takes hold longer term. That could drive some good numbers for us as well.
Vernon P. Essi - Needham & Company, LLC, Research Division: And if I could just kind of follow into that a little bit. I mean, it seems that your peers are a little more skittish about the third quarter, if you will, in terms of the consumer build. Are you getting the sense that maybe, I mean, this could be market share gains or something along those lines or you just sort of not seeing it as it is dire as your competition?
Jason P. Rhode: Well, I mean, the broader market is a smaller percentage of our business than most folks, I suspect. So probably it has a fair amount of impact on my view. But really I don't -- thus far, we haven't seen anything that is too horribly bad out there in the market. It's not crazy up into the right, but it's not bad either.
Operator: The next questioner in queue is Bobby Burleson with Canaccord.
Robert Burleson - Canaccord Genuity, Research Division: Just a couple of quick ones and maybe I missed this , but on the talent constraints and sort of the OpEx tracking below the target model. Is that something that could linger through fiscal '14? Or do you envision being able to get bodies and seats more in the next fiscal year?
Jason P. Rhode: No. I think it would be very challenging for us to really close the gap on hiring in the foreseeable future. We've got some pretty good outlook for growth going forward. And you can model it a whole bunch of different ways and look at different ratios, which we do pretty frequently, to try to figure out what's the right model and what's a good benchmark for the industry. We're a bunch of engineers for the most part, so we like to have metrics and things like that. And at the end of the day, when you consider the -- in terms of, well, really any talent, but for sure engineering talent, hiring people at a higher pace than on the order of 20%, 25% a year is really difficult to do and maintain your culture and not start making mistakes and all that. So it will take us a while to catch back up, and I suppose it's a fine problem to have. But it is an area we're opening a lot of focus to make sure we're at least keeping our foot before as much as we can to bring in good people.
Robert Burleson - Canaccord Genuity, Research Division: And that's even with the lifestyle in Austin?
Jason P. Rhode: Yes. I mean, it is interesting. For probably 2/3 of the people we recruit, the fact that we're in Austin is a huge, huge advantage. But for probably 1/3 of the people you target, either their spouse, they've heard about the Alamo or I don't know what it is or they don't like heat or whatnot, but they don't want to live here. So overall, it's a big advantage. It's -- certainly, in my opinion, for building a company that is differentiated on the kinds of things we do, it's a huge advantage versus being in the Valley. How we would possibly be able to build this kind of culture and have the kind of ultra-low voluntary turnover that we have in that environment, I have no idea. So I mean, I think, strategically, it's a huge advantage for us to be in Austin.
Robert Burleson - Canaccord Genuity, Research Division: Yes, I believe it is. One other quick question. On the LED business you're talking about -- it looks like a higher-end solution. And I'm wondering what are the price points that you think are nice inflections for demand when you talk about the sort of color mixing higher-end solution versus the price points that you think will drive demand later this year.?
Jason P. Rhode: Well, I mean, it's a little of both. We're trying to cover all the best because I don't know that anyone knows really how that market is going to shake out. We expect to be in some very compelling price point bulbs later this year. I think there's a couple of major inflection points for the market, although it's probably more of a continuum than we always like to think. But certainly $10 for a quality lightbulb that actually works right, we would expect to see some pretty good takeup of that. I have seen prognostication that where things really get interesting is in the sub-$5 range. But then there's always the wild card of you start getting subsidies that take you to $5 a lot quicker than you might think. So there's a lot in play there, but we're well positioned to play in that price point. We are also well positioned to take part in the higher-end lightbulbs where we feature both the dimmer compatibility and a nice warm color temperature. But at the end of the day, if a manufacturer takes a more holistic view, actually our 2-channel device is a pretty cost effective way to get to the warm color temperature and the dimmer compatibility versus trying to do via more traditional means. And then behind that, we've mentioned in the shareholder letter that our third-generation controller, that fab and the real goal there was to try to take a lot of cost out of the Bill of Materials. The first couple of devices we've had out are 2-stage devices for the power electronics portion, which means more magnetic components, et cetera. The device that we've got coming back from the fab now, it should be back any day now actually, that's more of a single-stage architecture. It maintains the dimmer compatibility, but it gets rid of one of the stages of the power electronics. And that's a real significant savings on the Bill of Material. So at that point, we're actually positioned with both the best dimmer compatibility in the industry and enabling right around the best Bill of Materials in the industry as well. And that's a pretty good combination.
Robert Burleson - Canaccord Genuity, Research Division: Great. Here's one that you might not want to touch, I'm not sure. But just wondering how much momentum when you look out to September is coming from the tablet part of your business. We don't really talk about that quite as much. And I'm just wondering if that's another place we are seeing some strong trends.
Jason P. Rhode: I'm trying to decide if I want to tell you, if I'm not going to touch that...
Robert Burleson - Canaccord Genuity, Research Division: It sounded that you wanted to touch that.
Jason P. Rhode: Or if I could go on to something else. No, we just -- we really don't want to be in the position of announcing our customers' products. We're talking about things that are really driving their business. It's our job to tee up our customers with great products, and it's their job to really go make them successful. So across the board, we're seeing some great things for the devices we've developed in the past year. We've been hard at work on them for a very long time, so you can imagine the kind of time frames that are involved in the business that we're in. When we develop devices for people, it takes us 1 year-plus; in some cases, a lot more. And so for us to finally get this cat at least partly out of the bag, it feels really good.
Operator: Our next question comes from Christopher Longiaru with Sidoti & Company.
Christopher J. Longiaru - Sidoti & Company, LLC: So my question has to do -- Philips, we've got announcement in the -- has been one of the manufacturers that's been successful in getting their price down, I guess, more so than other manufacturers. Can you talk a little bit about the role, if any, that you had in that, what your expectations for that is? Is it kind of a door that you can open to get into new designs?
Jason P. Rhode: Well, yes, it's a complicated product, it really is. I mean, it's remarkably complicated given how simple the function of equipment right out of a lightbulb looks like it ought to be. But at the end of the day, the biggest cost components of an LED bulb currently are, of course, the LEDs themselves and then the stuff that goes into making it a physical product, the heat thing, all the other manufacturing-related components. If you go around that, you can certainly imagine that in those 2 areas, the biggest guys would have an awful lot of leverage and a lot of control. And they might be able to get down the cost a lot faster than some of the smaller folks. But for our part, we're just trying to run the same strategy that we've run in all of our other businesses, which is that we don't want to be in markets where our products are check boxes, where people don't care about the kind of performance that we deliver. We want to be in markets where the products we deliver are a key part of the value add, and lighting is a good part of that because if you think about it really the IC is really the only IC in there. And as such we play a real key role in trying to help enable a low Bill of Materials overall and yet still achieve very, very good dimming compatibility and the overall experience the user has with the lightbulb. So we have an impact for the manufacturer, particularly if it's an organization that has the wisdom and the foresight to treat the problem holistically. It is a real shame when you work with companies that treat purchasing as an end in and of itself. And they just look at your device and look at somebody else's device. "And well, their device is cheaper than your device, so you got to lower your price." It's all about balance. But in my view the customers that do the best for themselves and for us are the ones that really look at it in a holistic view and realize, "What are we getting?" You have these devices, maybe a little more expensive overall, but it enables better functionality, and it enables, in some cases, a lower Bill of Material in total. And customers that are smart enough to look at it like that are the ones that we really want to work with. And thus far, we've been very blessed with the ability to do business with a lot of great ones.
Christopher J. Longiaru - Sidoti & Company, LLC: That's helpful. And just in terms of getting back to what your target -- model targets in terms of your OpEx. Considering the difficulties in hiring and how quickly that you're growing here, when do you expect you'd be moving back up into that 35% OpEx range?
Jason P. Rhode: I think that's going to take quite a while.
Operator: Our next questioner in queue is Rick Shafer with Oppenheimer.
Shawn Simmons - Oppenheimer & Co. Inc., Research Division: This is Shawn Simmons calling in for Rick. I guess just a couple of quick questions out there for me. Most of mine have been answered, but if you could just talk about are there any constraints out there that you could see limiting your upside, whether it's in the September quarter or the December quarter, whether it's for you specifically or within the supply chain?
Jason P. Rhode: Well, yes, we don't want to speculate about what anyone else out there might or might not be able to do. Our goal is just make certain that no matter what happens, we're able to run faster than grandpa at least, if not the bear. We've laid in a lot of inventory. We've done a lot of work with our supply chain partners. We're very confident that they will be able to meet whatever the demand comes our direction. And I just -- I want to make this point because we are the subject of an awful lot of speculation. Certainly, some of our customers in the market we serve there's all sorts of math that gets published by -- frankly, by people we've never even met. And we've taken -- we have a very good view overall of our supply chain, our limitations. We get pretty good data from our customers. And nonetheless, I'm sure by the time we get 1/3 of the way, they're half the way through the rest of the quarter. There'll be all sorts of articles talking about how this is going to happen or that's going to happen, and here's what it means to you. And I would just encourage people to pay a disproportionate amount of attention to what the company actually says versus -- and for what the people who follow us closely say versus folks we've never met.
Shawn Simmons - Oppenheimer & Co. Inc., Research Division: Okay. And then I just had another question. It's probably your largest customer, so maybe this is a touchy subject or not. But in past product launches for these guys, typically, I guess, how far in advance would you ship in a typical product launch, whether this is with your largest customer or with, say, a Visio [ph] in the past for whenever you ramped for the tablet last year?
Jason P. Rhode: Sure. So yes, I'm not going to touch on the largest customer portion of that, with a ten-foot pole. But generally, obviously, it is interesting when you look at the analysis that covers us, a lot of times you do wonder whether people think we ship -- we and our customers ship product around the world in teleporters or something. But we need to have -- we need to ship to our customers a reasonable amount of time before they ship product and how much time that is depends a ton. It depends a great deal on whether somebody is in the middle of a ramp or whether it's steady state. But it varies quite a lot. But in no cases is it 0. So we pretty much always have to ship it to them before they can ship it to their customers. So the time can vary between an amazingly short amount of time, and it's really 0.5 quarter to 1 quarter depending on the maturity of the product and the business that it underlies.
Shawn Simmons - Oppenheimer & Co. Inc., Research Division: Okay, great. And then, I guess, just one last question for me. I just guess on your gross margin long term, you are selling part of that energy business. Was that above your corporate average? Would we expect to see the December -- there's more pressure on your margins than the December quarter? And how should we think about that longer term?
Jason P. Rhode: It was pretty in line overall. I mean, it's a -- I think, overall, the hybrid business was a little bit above, but it's a pretty small percentage of things as they stand. So I wouldn't anticipate that being a significant amount of pressure. Yet, another category of my favorite articles that get published about us out there in this blogosphere are that the customers are going to suddenly start paying attention to pricing and really beat up their component suppliers for whatever reason. The reality is that's business as usual. All of our customers have very sophisticated models about what things should cost, et cetera. And those are rarely unique conversations, and we've certainly factored that in. And we'll -- Things can change, but our current expectation is that we'll continue to do very well on that front.
Operator: [Operator Instructions] Next questioner in queue is Andrew Huang with Stern Agee.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: Can you give us a sense of the likelihood that you'll get another Tier 1 customer for custom audio CODEC over the next 12 months?
Jason P. Rhode: Yes, I don't want to speculate on that. I mean we're certainly talking to quite a few folks out there. I think it depends a little bit on who you call a Tier 1 today because if you -- I think the market would probably view it a little differently than what we do for our internal targeting. We take very seriously the process if you -- it sounds funny to say it, but of selecting our customers very carefully. We've got a process where we evaluate a company's willingness and ability to partner. We're trying to build a valuable enterprise here and dealing with -- when you talk about dealing with custom products, you can't build custom products for suppliers -- customers that are going to change their minds 6x a quarter or change their suppliers on a whim all the time. It just doesn't work. There's no value in it. And so a lot of who-- a lot of the handset suppliers who are viewed as Tier 1 from a volume perspective, I don't know, would be really all that good of a partner for a custom product from us. That said, I think there are some good opportunities for us going forward out there, whether it's a custom device or more of a general market product, certainly the DSP who's provided us with a lot of good scouting information and a good -- a lot of good opportunity to clarify some of the opportunities that are out there. So I think the opportunity for us to do business with some folks that the investment community would appreciate are higher than ever. Whether that's on a custom device or what kind of time frame we're on, I'd rather not say at this point.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: Okay. And then kind of switching gears a little bit toward the DSP. Is it fair to say that you'll ramp some kind of a DSP product with multiple customers over the next 12 months?
Jason P. Rhode: Yes, actually. That is a very safe statement.
Operator: And at this time, I show that would be our last phone line question. I'd like to turn the time back over to management for any additional closing remarks.
Jeremy Allen: Great. Thank you, operator. We do have a few questions that were submitted via e-mail. A handful of them have been answered already through our analyst questions. But we did have 2 that we'd like to address real quickly. One is a question from a shareholder asking specifically about what they can expect the tax rate to be once the deferred tax asset has been utilized fully, not asking really about timing, but simply what the tax rate can be expected to be at that time.
Thurman K. Case: Well, at present time the tax rate is going to be in the 35% range, which is the normal tax rate. But looking ahead towards the future where we know that the NOLs will be utilized and we have to try to reduce our tax exposure, we're going to be looking into various strategies and other things that we can do to maximize shareholder value through trying to minimize the amount of tax that we need to pay and still not affect our business model as a whole.
Jason P. Rhode: Yes. And just to follow-up on that, I think Thurman touched on the great point. People jump through a lot of hoops to minimize their tax exposure. And frankly, I wish the tax code could get revised so that it removes the incentive to do that. To get a lot of those things that people jump through the hoops to do actually make it more difficult to run a great company, moving your operations overseas or whatever all else. It might be good, it might be the best thing for the business, but it might not be. And so it's a lot of complexity that you have to go through that otherwise might not be in play. So our goal really is, as Thurman said, to make sure that we're not at a disadvantage relative to our peer companies from a tax exposure point of view. But at the same time, pick our opportunities wisely so that we don't put ourselves at a -- so we don't tackle some of the things that are more difficult or maybe put us in a business disadvantage versus what we've done in the past.
Jeremy Allen: Great. The final question has to do with following up on the sale of the Apex assets in Tucson. Specifically, as you divest this business, do you see the need for additional acquisitions in order to further development in areas such as light control or augment other areas of the business to augment growth.
Jason P. Rhode: Yes, that's a great question. I wouldn't say it's tied into the divestiture of the hybrid business. But we have maintained a lot of focus on trying to find an acquisition that would make sense, that would help us achieve our strategy more quickly or accelerate our progress towards some of our goals. But the reality is acquisitions are really hard and in particular, doing one that would move the needle for us in any meaningful way. It's a big integration challenge. Most acquisitions fail for reasons of culture or geography or -- people do acquisitions for a lot of reasons, and in my opinion, most of them are misguided. If you do an acquisition for purely financial reasons, most likely it's going to come back to haunt you. And so our goal is we would love to find one that makes a lot of sense. And if so, it will definitely be a case where as my former chairman and mentor, Mike Hackworth told me, "You do acquisitions because you find a situation where 1+1=3." And the end goal is actually better for the market overall than the 2 entities separately. But simply doing an acquisition just to diversify your revenue base or just to make us bigger doesn't make a lot of sense, well, to me.
Jeremy Allen: Great. I think that's all the questions we have. I'd like to thank everyone for participating today. If you have questions that were not addressed, you can submit them via our Investor website. I would also like to announce that we will be attending several conferences this quarter, including the Canaccord Genuity and Oppenheimer conferences in Boston on August 14 and 15 and the Citi conference in New York City on September 4. Let me close by saying that Q1 was another good quarter for our company, and we are excited about the tremendous growth beginning in Q2. I would like to take this opportunity to thank all of the Cirrus Logic employees who have worked incredibly hard over the past several years to position this company for this sharp transition to a higher level of revenue. We expect fiscal '13 to be an outstanding year for Cirrus Logic and our long-term shareholders. Thank you.
Operator: Again, ladies and gentlemen, this does conclude today's conference. Thank you for your participation, and have a wonderful day. Attendees, you may disconnect at this time.